Operator: Good day, and welcome to the Camden Property Trust Second Quarter 2018 Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kim Callahan, Senior Vice President of Investor Relations. Please go ahead.
Kim Callahan: Good morning, and thank you for joining Camden’s second quarter 2018 earnings conference call. Before we begin our prepared remarks, I would like to advise everyone that we will be making forward-looking statements based on our current expectations and beliefs. These statements are not guarantees of future performance and involve risks and uncertainties that could cause actual results to differ materially from expectations. Further information about these risks can be found in our filings with the SEC, and we encourage you to review them. Any forward-looking statements made on today’s call represent management’s current opinions. And the company assumes no obligation to update or supplement these statements because of subsequent events. As a reminder, Camden’s complete second quarter 2018 earnings release is available in the Investors section of our website at camdenliving.com. And it includes reconciliations to non-GAAP financial measures, which will be discussed on this call. Joining me today are, Ric Campo, Camden’s Chairman and Chief Executive Officer; Keith Oden, President; and Alex Jessett, Chief Financial Officer. We will be brief in our prepared remarks and try to complete the call within 1 hour. [Operator Instructions] If we are unable to speak with everyone in the queue today, we’d be happy to respond to additional questions by phone or e-mail after the call concludes. At this time, I’ll turn the call over to Ric Campo.
Ric Campo: Thanks Kim, and good morning. Today's on hold music was selected by Austin Wurschmidt and his team at KeyBanc who won our contest on last quarter's call. Austin picked up on the accelerated pace of M&A activity in the REIT Industry in 2018 with eight deals totaling $56 billion in equity valuation either closed or pending. That's a lot of collaboration which led to his theme of famous collaborations of musical variety. Thank you Austin and your team. And for this quarter's contest be the first e-mail Kim Callahan 4 artists and/or bands featured on today's on hold music, and you'll have the honor of selecting our music for our next earnings call. Camden team members delivered solid earning results this quarter. We continue to create value through our development business and will be at the high end of our 2018 starts guidance. The acquisition environment is challenging with high demand driving higher prices and lower cap rates more than we anticipated in the beginning of the year. Rising interest rates and modest growth rates have not had any effect on buyer demand in the multifamily business. We've held our acquisition guidance at $500 million for the year, but have moved $300 million into the fourth quarter. We still believe we'll hit our acquisition targets while maintaining our discipline by the end of the year. I'll now turn the call over to Keith Oden.
Keith Oden: Thanks Ric. Today marks Camden's 100th quarterly earnings call and Ric and I've had the privilege to be on every one of them. A lot has changed in the REIT world over the last 25 years, but one thing that has always been true is that good numbers make for good earnings calls. I'd like to acknowledge and thank our Camden team members for producing another quarter of good numbers for us to discuss on our call today. We are indeed pleased with results this quarter, which were better than our expectations for both the quarter and year-to-date. Overall conditions remain healthy across our across our entire portfolio. Sequential revenue growth was up 1.8% led by Corpus Christi at 6.4%. And importantly, in second place was DC Metro of 2.6%. Every other market posted a positive sequential result. This was a very routine quarter for Camden and with this in mind and the fact that we're at the end of earnings season, I'll keep my remarks brief to allow for more time to discuss what interest you all about the quarter. Starting with same store results. Revenue growth was 3.2% for the quarter and 3.3% year-to-date. Second quarter revenue growth was led by Corpus at 4.54%, Orlando by 5.2%, Phoenix 4.7%, Tampa at 4.5%, Raleigh at 4.3% and Houston at 3.7%. As we expected, our two largest markets posted better revenue growth compared to the first quarter with Houston up 3.7%, DC Metro up 2.5%. Rents on new leases and renewals continue to look encouraging versus our original guidance. In the second quarter, new leases were up 3.3% and renewals were up 5.9% that produced a blended growth rate of 4.5% versus 3.3% in second quarter of 2017 and 2.7% for last quarter. July prelims are running at 4.8 % for new leases, 5.6% for renewals for a blended rate of 5.2%. As we expected, new lease pricing has seen good improvement during our peak leasing season. August, September renewal offers are going out on at about a 6.1% increase. Our occupancy rate averaged 95.8% in the second quarter versus 95.4% in the first quarter and was above 95.3% from the second quarter of last year. Our July occupancy rate actually reached 96% slightly better than our 95.71% last July. Our net turnover rate continues to see all-time lows at 49% for the second quarter, and 44% year-to-date. The lower turnover rate in tandem with our historically low number of move outs to purchase homes continues to contribute to our strong and somewhat better than expected operating results. I'll turn the call now over to Alex Jessett, Camden's Chief Financial Officer.
Alex Jessett: Thanks Keith. And before I move on to our financial results and guidance, a brief update on our recent real estate activities. During the second quarter of 2018, we began construction on Camden Lake Eola, a $120 million 360 unit story 13 storey building in a Lake Eola sub market of Orlando, Florida. During the second quarter, we also began leasing at our Camden McGowan station development in Houston. Our Camden North End development in Phoenix and our Camden Washingtonian development in Gaithersburg, Maryland. In the third quarter, we began construction on Camden Buckhead in Atlanta. This $160 million, 365 unit developments will be the second phase of our existing Camden Paces community and will consist of one 8 and 9 storey concrete building. Previous cost estimates and our supplement for this development were based upon the construction of one four-story wood frame wrap building. Due to these projects irreplaceable location in the heart of Buckhead and the success of our Camden - of our phase one Camden phases high-rise, we've made the decision to significantly enhance this development including moving to two type one concrete high-rise structures. Turning to financial results. Last night we reported Funds From Operations for the second quarter of 2018 of a $116.1 million, or $1.19 per share exceeding the midpoint of our guidance range by $0.01 per share. Our $0.01 per share outperformance for the second quarter resulted primarily from approximately $0.05 in higher same-store revenue and a $0.05 in higher non same-store net operating income which was primarily driven by better than expected results from both our recent acquisitions, and our development communities. In the aggregate, our same-store operating expenses were in line with expectations, although property taxes were $1 million higher than anticipated entirely due to Atlanta property tax valuations. This negative tax variance was entirely offset by lower than anticipated expenses in almost all other categories, particularly lower repair and maintenance expense and lower levels of self insured employee health care costs. Turning to property taxes. Fulton County, Georgia which includes Atlanta significantly raised their valuations for residential assets. The valuation increase for our entire Atlanta Metro portfolio was approximately 28% with a 41% increase for Fulton County communities. This Atlanta valuation increase was not anticipated and will result in $2 million of additional property tax expense in 2018. As is our policy, we accrued six months of this increase or $1 million in the second quarter to catch up. The remaining $1 million will be booked over the rest of 2018. We have already filed appeals on these valuation increases. However, due to the amount of property owners in Atlanta that will be contesting their valuations this year, it is unlikely we will get any settlements before the end of 2018. If we are successful with our appeals, we'll book the refunds as an offset the property tax expense at the time in which the refund is received. We are now anticipating full-year property taxes for our same-store portfolio to increase approximately 6%. We believe that this unexpected property tax increase in Atlanta will be entirely offset by actual and future anticipated cost savings in our other operating expense categories and have therefore left the midpoint of our same-store expense guidance unchanged at 3.5%. We've updated and revised our 2018 full year same store revenue, and FFO guidance based upon our year-to-date operating performance and our expectations for the remainder of the year. Our same store revenue performance has been better than expected for the first six months of the year, driven primarily by higher levels of occupancy. Based upon our trends and our expectations for the remainder of the year, we are increasing the midpoint of our full-year revenue growth from 3% to 3.15%. This increased revenue guidance and the maintenance of our expense guidance results in increase to our 2018 same-store NOI guidance from 2.7% to 3%. Last night, we also increased the midpoint of our full year 2018 FFO guidance by $0.02 from $4.72 to $4.74 per share. This $0.02 per share increase is the result of our anticipated 30 basis points or $0.015 increase in 2018 same store operating results. $0.05 of this increase occurred in the second quarter with the remainder anticipated over the third and fourth quarters. And $.015 of additional non same store outperformance. $0.05 of this increase also occurred in the second quarter with the remainder anticipated over the third and fourth quarters. This $0.03 aggregate increase is partially offset by $0.01 from delayed acquisition timing. Our current guidance now assumes approximately $300 million of additional acquisitions all in the fourth quarter. If we do not complete any future acquisitions in 2018, the net result would be a further $0.01 per share reduction. Last night, we also provided earnings guidance for the third quarter of 2018. We expect FFO per share for the third quarter to be within the range of $1.17 to $1.21. The midpoint of $1.19 is in line with our second quarter results as expected sequential increases in revenue are offset by the typical seasonality of our operating expenses. Our balance sheet is strong with net debt to EBITDA 4x, a total fixed charge coverage ratio at 5.5x, secured debt to gross real estate assets at 10%, 81% of our assets unencumbered and 93% of our debt at fixed rates. We ended the quarter with no balances outstanding on unsecured lines of credit and $64 million of cash on hand. We have $633 million of developments currently under construction with $283 million remaining to fund over the next two years. Later in 2018, we will repay at maturity $175 million of secured floating rate debt with a current interest rate of 2.9% and will repay at par $205 million a secured fixed rate debt with an interest rate of approximately 5.8%. We currently anticipate issuing four $400 million of unsecured debt late in 2018 at a rate of approximately 3.8%. In anticipation of offering, we entered into $400 million a forward starting swap effectively locking in the 10-year treasury at approximately 2.6%. At this time, we will open the call up to questions.
Keith Oden: Yes. Before we take our first question, we do have a winner in the contest. John Kim of BMO Capital Markets was the first to get four correct artists. We look forward to working with you John on next quarter's music. Now we'll open it up for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Nick Joseph of Citi. Please go ahead.
Michael Griffin: Hi, there. This is a Michael Griffin in for Nick. First question on Houston for the merchant build product. Are you still seeing concessions or has vacancy dissipated in the leasing environment meaningfully improved?
Ric Campo : On the merchant build product, we have --we continue to see concessions, and it's just very typical in this kind of environment. It's interesting because the market is very bifurcated from that perspective. So just to give you an example on our Camden McGowan station project, we are 30% leased after opening up in the first quarter so our velocity is very good, but the concession environment is basically two months free in that product. The --when you think about the operating portfolio overall, 9,000 apartments that we have plus or minus in Houston, our operating portfolio is doing really well from a revenue growth perspective. But merchants builders are very typical in when they start out with an empty building, they focus on pushing the occupancy as fast and as hard as they can, and their view is that free rent gets you there and it's a very typical thing that is used in the marketplace. So it hasn't negatively impact the overall market. It just the development market and once the once the project's released up obviously the concessions are hoped to burn off given the supply situation the fact that there's only 7,000 units being delivered this year. And then less next year, we expect that the free rent will basically dissipate by probably end of this year maybe middle of next year in the new development properties.
Michael Griffin: Great, thanks. And one other question I see here that the estimated cost of the Buckhead deal on the development pipeline increased by $35 million. What's driving that and how does it impact the expected stabilized yield and when would you expect that to start?
Alex Jessett: So as I mentioned in my prepared remarks that the previous cost estimates for that development was based upon a four story wood frame wrap building, and due to its location Buckhead and the success of our adjacent Camden Paces high-rise, we made the decision to significantly enhance that development including moving to two type one concrete high-rise structures.
Operator: Our next question comes from Juan Sanabria of Bank of America Merrill Lynch. Please go ahead.
Shirley Wu: Hi, this is actually Shirley Wu on for Sanabria. So I want to touch on Houston a little bit more. For the back half of 2018, what do you think will be the trajectory or the path for occupancy comp this year? And also what's the range of your occupancy losses built into guidance for second half?
Keith Oden : I didn't get the second part of that question, Shirley. So let me address the first part first which is the on Houston and sort of the trajectory. We will have some very difficult occupancy comps in Houston in the fourth quarter as you -- some of you may recall, we actually at one point last year as a result of the aftermath of the hurricane Harvey, we actually hit 99% occupied in the fourth quarter. And obviously we'll be nowhere close to that. So we had -- while we continue to make good gains, our new leases have picked up since the beginning of the year. And we're basically up about 1% in the second quarter. Our renewals --we're getting running 5% to 6% on renewals in Houston. We do expect to see that new lease rate continue to tick up throughout the end --from now through the end of the year, but offsetting that will be the fact that we'll be nowhere near 99% occupied. I think we close out closed out July at about 95.5% occupied in Houston, which is that's more typical, a more typical occupancy rate. So we're likely to see something more akin to that as we roll out through the end of the year. And then we'll continue to get better results on the new leases and renewals. And I didn't hear this -- I'm sorry didn't hear the second part of your questions.
Shirley Wu: So I was just wondering in terms of occupancy losses is that built into your guidance and as I mostly focus on 4Q like you were saying or is it like a bit in 3Q as well?
Keith Oden: Well it's not occupancy losses but occupancy relative to our same store results last year. It's obviously going to be much less probably about 350 basis points plus or minus less than what our occupancy was at this time than the fourth quarter of last year, but we're not projecting occupancy losses from where we are today throughout the end of the year. It's just that we're going to have a really tough comp in the fourth quarter, late third and into the fourth quarter of 2018.
Shirley Wu: Got it, thanks for the color, also one more question for a new and renewal. Could I get the 2Q numbers for your portfolio across your different markets?
Keith Oden: So for second quarter new leases 3.3%, renewals 5.9%, the blended rates 4.5%.
Shirley Wu: Okay. Do you have a market breakup?
Keith Oden: Yes. But we operate in 15 markets if you would -- we'll give you that offline but going through those it take me --we don't - I don't need - we don't even get in that level of detail on the call, but they are available and you can get them offline.
Operator: Our next question comes from Austin Wurschmidt of KeyBanc Capital Markets. Please go ahead.
Austin Wurschmidt: Hi, good morning. I was just curious if you could give a sense on how 2019 supply outlook is shaping up as one of your peers had indicated supply grows will be down in the high teens next year. And I was curious if you were seeing similar decline.
Keith Oden : So our two data providers are Wheaton and RealPage that we have, we look at completions for 2018-2019 and honestly that there's not a nickels worth a difference in their forecast between 2018 and 2019. Wheaton is basically at 138,000 deliveries and I'm talking only in Camden's market, it's not nationally but only in Camden's markets. And he's got that drop into 136 in 2018. RealPage numbers a little bit less than that at 142 in 2018 and drops to 140. So you're less than 1% difference between the two data providers that we have on what we think completions will be between 2018 and 2019. So I think that both of them at least in our conversations within they have attempted to capture what it would has been a phenomenon that's been going on for two years now, which is the delay in getting completions to the finish line, but they think they've made their best guess that things that may shift between --projected 2018 completions that roll over into 2019. So we'll see how good they were able to forecast that but it's certainly been a trend for the last two years. My guess is it's going to continue and they tell us that they've made their best guess factoring in delays of 2018 and 2019. But I think for our purposes from the standpoint of our planning, we're assuming 2018 and 2019 are roughly equivalent across our platform.
Ric Campo : With the exception of Houston obviously. That's just a different animal given the nature of Houston when supply is just falling off the edge of the earth in 2018 and 2019.
Keith Oden: Yes. They're basically that we've got Wheaton --it got 2018 at 7,000 apartments so that drops to about 6,000 in 2019 for Houston.
Ric Campo : So in historically those are crazy low numbers for Houston.
Austin Wurschmidt: Yes, appreciate the detail there. And then separately, you talked about the competitiveness in the acquisition in the transaction market, but it sounds like you're pretty comfortable with your acquisition guidance. So we're just curious what gives you that level of confidence and you have anything under contract today?
Ric Campo : Well what gives us the confidence is that we're working on lots of transactions, and while we don't really talk about what we have under contract or not at this point level in the game. We feel that we'll be able to hit that target by the end of the year. It is -- it was somewhat surprising to us that with the 10 year hitting 3% and markets prices being where they are that there wasn't a little less sort of frothiness in the market, but like I said in my beginning -- in my comments that hasn't been the case. And people are either lowering their terminal IRR numbers to get to where they're going, but our specific the box that we're looking for is newer construction with below replacement cost with some imbedded concessions. So that we can grow those cash flows going forward, And it's just harder to find. There's still a massive bid for value-add and --good news for us is that we're not really looking at value add. We're looking for that sort of a different product, but there is still a huge bid out there for any multifamily. I think part of it stems from the whole issue of this is the 10years it's three 3% or 3.5% because we have great growth going on in the country. And you have inflation sort of picking up some -- the idea that multifamily re-prices pretty much every day their product and the leases roll over on average of 8% to 10% of the whole portfolio rolls every month. Some investors are banking on higher inflation and therefore cash flow is growing faster than cap rates rising. If you do have longer-term interest rates rise. So that's just getting them over the hump on multifamily sides hotels, it's the best inflation hedge as long as you're growing the economy and not having sort of stagflation which doesn't look like that's on horizon.
Operator: Our next question comes from Alexander Goldfarb of Sandler O’Neill. Please go ahead.
Alexander Goldfarb: Hey, good morning down there. Just two questions. First Ric or Keith on California just given it's about 8% of your portfolio. Do you have any sense in your markets there, the municipalities what their sense is for if Costa Hawkins is repealed, if you think that any of your markets will face rent control measures or you feel pretty good with where your communities are right now and understanding the issues especially as it revolves around vacancy decontrol?
Keith Oden : Yes. So, Alex the two things, the two comments. One would be they are sort of the state level initiative that there's a lot of attention on right now. And we certainly are participating in the fighting the good fight on the repeal effort at the state level. I'm sort of -- if you put a gun at my head I'm probably thinking that the state level initiative may actually get through, but that's not really where the game is won or lost on this issue, it's going at municipal level which you're correct to point out. Obviously, you have --you got a different dynamic in San Diego, Orange County, and Inland Empire than you do in Northern California and then LA County. So there was a piece done by one of the good analyst firms and I'm not going to mention the name, but it's pretty well done and it stratifies all of the REIT holdings in California by municipality and sort of assigns a high risk to low risk value to those and in our portfolio only about 10% of Camden's assets fell into what would be called a high risk bucket or a municipal level adoption of some kind of rent control measure. So now 10% of our --11% of our NOI and roughly 10% of that's in the high-risk bucket. So I think our specific exposure is pretty limited to the Costa Hawkins thing. But obviously it's a huge thing. There's a lot of attention. We're participating with all the other REITs and NAREIT and MHC but there's a lot of energy on both sides of this issue in California. And it'll be interesting to see how it plays out.
Alexander Goldfarb: Okay. I guess it makes you happy that you're Texas based. And then the second question is Denver. Suddenly it's become everyone's popular market. You guys have been there a long time you never left, but I recently haven't seen as much on the investment side there. So what are your thoughts on Denver? And then overall I think your footprint is much broader than just Denver property you guys extend out. So are you thinking about the market any differently and how you invest there? Meaning maybe concentrate at more infill or you like the market as a broad market to invest in.
Ric Campo : We like the market as a broad market to invest in. If you look at what we've been doing with our developments, our developments have been have been transit- oriented development. We currently have a development underway in RiNo which is the River North Area which is right adjacent to downtown. The challenge that we've seen in the -- and trying to get more urban in Denver is that it is sort of hurts my head paying sub for cap rates for new development there, and that's what they're tricking at today. So we like where we are in Denver, and our properties-- so we have a nice balance between new transit-oriented development, some urban and then suburban. So that when you do have a correction in the Denver market some day we have a balance between A and B properties and suburban and urban properties, but generally Denver is definitely on everybody's a list of getting into, and if you liked for long time for lots of reasons and continues to be a good market.
Operator: Our next question comes from Rob Stevenson of Janney. Please go ahead.
Rob Stevenson: Good morning, guys. Beyond the Buckhead development, how many of the other pipeline communities are you planning to start in the second half of this year? And where are at this point you think stabilize returns are for the current pipeline and then on stuff that you would start sure?
Ric Campo : So the starts that we've announced including the bucket is we might start one more, but it would be right at the end of the year maybe beginning of next year. And so our pipeline with the ones we've announced were at $280 million plus or minus and just really close towards $300 million guidance. In terms of yields, clearly development yields have come down from some pretty lofty levels that they were at. And our yields today instead of sort of seven and some change there are six and some change. And so construction costs continue to rise 4% to 8% maybe 10% in some markets, and rents are going up 3%. So that definitely has compressed those yields. On the other hand, we have still 150 to 200 basis point positive spread between our going in yields versus what we can buy going in yields from an acquisition perspective. So you still have a nice spread for taking a development risk.
Rob Stevenson: Okay and then, Alex, given your comments about property taxes, you talked about how successful Camden's been over the last three years or so in terms of winning property tax appeals. I mean you guys contest everything and so therefore your appeal win rate is low. Are you guys making just sort of conscious efforts to appeal the egregious ones and sort of when you do appeal what you're sort of winning percentage there?
Alex Jessett : Yes, absolutely. So we don't appeal every single thing but we do appeal a lot. And actually in getting some form of reduction we were typically about 70% effective. So it's a pretty good winning rate.
Rob Stevenson: And then in that 70% I mean what's the magnitude. I mean is its just getting a little bit. I mean is it a lot I mean how significant does it --is that negotiation or is that sort of movement between what you get assessed at and what you end up wind up paying on an annual basis.
Alex Jessett : Yes. So we set target rates for every single community that we own. And when we say 70% we're shooting to get to that target rate, obviously, it's never perfect but we get pretty close to it.
Operator: Our next question comes from John Kim of BMO Capital Markets. Please go ahead.
John Kim: I'm still riding the emotional high winning your contest. Thank you so much. 
Ric Campo : Oh you'll get over it.
John Kim: It's made my week for sure. The 4.5% blended rate you got in the second quarter, it's trending higher in July. Do you think that 5.2% is something that you can achieve the rest of the quarter? And what are you assuming as far as rental lease growth to achieve the midpoint of your same store revenue guidance?
Keith Oden: Yes. The July numbers are probably end up being in the high-water mark for the year because you've got-- you got markets like Dallas, Austin and South Florida that are trailing away as we go through the year. And then you've got Houston which is going to be a real interesting comp in the --into the third and fourth quarter. So my guess is the 5.2% in July probably ends up being the high-water mark, and our guidance right now for the year is 3.15 on revenues, so where we think any of you -- the implication of that is that we're about 3% plus or minus in the back half the year, and that's all seems about right to me.
John Kim: Okay and then Alex mentioned the $400 million of unsecured debt that you expect to raise. It sounds like part of that is to repay the debt maturing next year, but as far as the remaining $644 million expiring, how do you expect to refinance that?
Alex Jessett: Yes, absolutely. So we've got a lot of options to how we're going to do that. Obviously, we're looking at the unsecured market and looking at various tenures, and then we always have the ability to do dispositions if it's appropriate as well. So we're still working through our strategy on exactly how we intend to refinance the rest of that debt.
John Kim: Could you give pricing levels on secured debt versus the unsecured?
Alex Jessett: Yes. So unsecured versus secured, so the easiest way to think about it is on a -- if you don't walk in your rates which we already have the spread for us on a ten-year unsecured is somewhere right around 110 basis points. And if you went to Fannie Mae for instance, Fannie Mae is going to be sort of that in the 200 basis point spread. LifeCos today are actually your very best option out there. LifeCos are trying to try to build business and you can probably get a LifeCos deal done about 120 over.
John Kim: Great, thank you.
Ric Campo : One thing I will mention though is we --even though you can get some secured debt we are an unsecured borrower, and generally we will --unless there's something really wacky going on in the unsecured market we're going to stay an unsecured borrower, and one of the things that happens with this refinance is that we get rid of a lot of secured debt that we put in place during the financial crisis. If you remember how we did that secured debt, we went out and borrowed money from Fannie and Freddie and bought our unsecured bonds back at a discount. And now with where we are in the cycle we're going to recycle that capital with new unsecured debt that will take our credit metrics even better by getting rid of a lot of unsecured debt that we have on - or secured debt that we have on our balance sheet at this point.
Operator: Our next question comes from Drew Babin of Baird. Please go ahead.
Drew Babin: Hey, good morning, I wanted to touch on Southern California briefly. It looked like while revenue growth is still strong there, it looks like it decelerated a bit sequentially in both, the LA Orange County, San Diego, Inland Empire markets. And I was just curious is that the result of pockets of supply? Is a result of sort of a tangential effect of more urban supply? What are the dynamics driving that?
Keith Oden: Yes. So in LA for example and I'll give you LA and Orange County; in LA, it looks like 2018 we're going to end up getting around 60,000 jobs this year. And that's against about 14,000 new apartments. So that's relatively in line, a little bit of pressure implied. If you go out into 2019 in LA, the drop -- jobs are forecast to drop to about 40,000 but unfortunately the supply maintains pretty constant at about 14,000 additional apartments. So it's just the ramp of supply that's finally getting to the marketplace in LA. Similar story in Orange County, in 2018 it looks like we'll get about 30,0000 jobs and we will have to absorb about 7,000 apartments in 2018 and the math is pretty similar in 2019. So from my perspective our portfolio is actually doing pretty well, and we're pleased with the performance. It's actually outperforming what our original plan was. And some of that has to do with our location is just not nearly as impacted by the high levels of deliveries that are going on across the Southern California platform.
Drew Babin: Great, that helps. And then one more maybe more conceptual question on the concept of replacement cost. I think bull would say replacement --you're buying assets in a discount to replacement cost, replacement cost is probably only going to trend up with tear ups and just more inflation in materials, labor cost things like that. A bear might say that replacement cost is sort of artificially elevated right now kind of fluctuates over time maybe even more volatile than rents over a long period of time. And I guess I'm --if you could kind of give both sides of the argument and kind of why you look at that with regard to acquisition average opportunities as a benchmark since it is a bit of a moving target.
Ric Campo : Right. I agree with what you just said for sure. But the way we sort of look at it in this prism and that is since we have a robust development business, if I can build it and build it today at a cost that is higher than what I can buy it at then today -- we look at it that way saying, okay, we know what it will cost us to build and if I can buy it at a lower price of what it can cost me to build then that makes a lot of sense to me. On the flip side, if you buy it at above replacement cost and I look at that and, say, gee, in Atlanta, I know exactly what it's costing us to build our second phase of Buckhead. Why would I buy a property across the street from one I can build when I can build it at a cheaper price per door and per square foot than the one people are buying across the street? So to me it's more about our ability to develop and understand those costs. And I get why at some point you argument on the bull or the bear side will rule the day, but from our perspective if we're going to commit capital I want to commit capital. I'd rather develop my own properties than buy properties that are high --that are more costly than ones I can develop.
Operator: Our next question comes from Rich Anderson of Mizuho Securities. Please go ahead. 
Rich Anderson: Thanks, good morning. For over 20 years and I haven't won squat. So I don't know what's going on here. So but one thing I do remember way back when there was a signal of a healthy multifamily market was when multiple --when new rents exceed --new rent growth exceeded renewal rent growth. That hasn't really happened in a while and I'm wondering if there is a systemic reason why it won't happen again or do you think that there's a chance that you could see your new rent growth cross with your renewals at some point in the next couple of years.
Keith Oden: Rich I think it's certainly possible. Some of it has to do with when you look at new and renewal rents. The question, a big part of it is what happened at the last 12 months ago when that person signed a lease. And if you're in an increasing market that's constantly increasing upwardly in rents then it doesn't surprise me greatly that you would continue to see renewals --renewal rents above new leases. The weird part or the odd part about where we have been for the last seven or eight years is you've been in a constantly increasing rent market, although the second derivative has moved around a little bit on the rate of growth, but the fact is rents have been growing for eight -straight eight or nine straight years which is unusual. So when you have -- you think about what the experience that we had in Houston with the downturn in the oil markets and rents actually going negative. There's no question that we were renewing rents in many cases at below what we were offering new rents at. And part of the part had to do with at some point you're just trying to maintain occupancy. So it depends a little bit on where you are in the cycle, but I would expect that as things continue to get as this cycle unfolds and moves into the next cycle, yes, I my guess is you'll see that happen again. 
Rich Anderson: But I am remembering correctly right that is a fair way to look at it. And then secondly on the topic of Denver, I heard what you said Ric but it's interesting that suddenly many of your peers are suddenly very optimistic about a market that's not currently maybe great today. Is there something incremental that is a common knit to all these views that are coming from people like EQR and AvalonBay taking a look at Denver or is it just the basic fundamental stuff that you described.
Ric Campo : Well I can't really get inside their investment thesis other than the broad one where companies have been pounding the table forever that coastal is where everything is right and rents never go down in San Francisco, New York. And we've always argued that we want to be in high-growth markets both population and job growth. And that over the long term will allow rents to grow and the market to grow and what happens as a byproduct of that growth is that they allow -- the municipalities allow development and then the argument is that markets overshoot from a development perspective, and the supply constraint markets don't, right. Well, we know that just isn't true anymore or at least it's more evidence today that it's not as true as it has been. And so I think if I were something that had those kinds of market dynamics, I'd look for growth and I'd look for markets that have really good long-term dynamics. And I think Denver has that. I mean it's a real-- when you think about cities that are classified as really high propensity for Millennials to go there and Denver has a lot of those really high value propositions, it's got recreation and the mountains, there's a lot of good things going on in Denver that's not --then those things are not going to change given the sort of dynamic of our renter base. So it doesn't-- I mean look at that market and say if I'm going to buy a non-coastal market it might Denver, it might be South Florida and it sort of holds to their -- they don't have to totally abandon the coastal low supply thesis with those -- with a couple of markets.
Rich Anderson: So not rolling the dice on HQ2 you're saying.
Ric Campo : I don't think you're rolling dice, HQ2 is a wild card and I don't think we can throw the dice on that.
Operator: Our next question comes from John Guinee of Stifel. Please go ahead. 
John Guinee: Great, thank you. Just a curiosity question Camden Buckhead, you have the total development cost last quarter as a wrap product at about a 277 a unit. And then going with type one vertical you're up to about a 438 a unit. Is there really a $160,000 a unit increase when you go from wrap to concrete?
Ric Campo : Well, there's two pieces. So the answer is yes. There's a big differential between a wrap and a concrete, no question about it. And then second when you do go to a concrete product and a high-rise product you start --you improve the interior quality of the property and the amenity space as well. So if you're trying to get a premium rent you're going to have to put in premium finishes, more than you would do --then you were doing in a wrap product. So part of it is just the differential between wrap and high-rise. Then the amenity packages and the finishes and then third between both of those that was sort of the wrap product was a placeholder and since --so it's probably not a great comp because construction costs have continued to rise and we have not tried to tweak our sort of future development numbers very much. So that number that was put in for the wrap product was put in a couple years ago. And as you've definitely had some construction price creep in that number. So that base number was probably [lowest part].
John Guinee: And then second, do you control land via options et cetera and can you get people a sense for what you might have that doesn't show up on the supplemental?
Ric Campo : We try to control land for a long period of time but it's very hard to do in this current environment. And at this point, we're working on transactions but what you see is what you get on our supplemental information right now.
Operator: Our next question comes from Wes Golladay of RBC Capital Markets. Please go ahead.
Wes Golladay: Yes, good morning, everyone. Can we go back to the Fulton County tax increase? Were you entering this year well below your target rate? Do they overshoot or is it just a case where a municipality is trying to plug their budget using commercial real estate?
Alex Jessett: Wes, there's actually a lot of really interesting articles online where you can read about this, but effectively what happened is the State of Georgia has sued Fulton County alleging that their valuations are under market, and so this is Fulton County's way of responding to it. I will tell you this is not a Camden unique issue. In fact, a last count there is over 40,000 appeals of property tax valuations in Fulton County, that's over 8% of all property owners. And in fact, there's actually an 8% threshold where if you go over 8% of appeals, the county actually has to get the courts to certify their tax register. So this is a sort of across the board Fulton County issue. I will tell you that clearly we believe they've clearly overshot. We've filed all of our appeals, but once again if you have 40,000 appeals that they have to work through, I think it's going to be highly unlikely that we're going to get any resolution until 2019. 
Wes Golladay: Okay and then looking at the acquisition guidance be pushed to the fourth quarter. Is that just a function of developments taking longer to build maybe getting a little bit of a delivery delay pushing that the timing of a lease up acquisition later? Or is it just trying to figure out which one you want to buy?
Ric Campo : It's more trying to figure out which one we want to buy. There are too many-- we're going through more and more transactions trying to find the right one. And it's not so much a delay in deliveries. 
Wes Golladay: Okay, a real quick follow-up to that. And how many people do you run into for competition when you're trying to buy a lease? I would say I get that value add, and core may have a lot of competition but when you look at the lease such as it just a bit-ask spread or is it just a lot of people chasing these?
Ric Campo : I think it's both. You have --you clearly have --so on a value add you may have 20-30 bidders in a sort of core below for replacement cost type of asset and we might have 10 or 12 , 10 or 15, but you still have --trust me there's still a lot of competition. It is just less competition in that space, and there is in value-adds.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Ric Campo for any closing remarks. 
Ric Campo : Right. We appreciate your time today. And have a great rest of your summer. And we'll speak to you on the fall. Thank you. 